Operator: Good afternoon. My name is Kelly, and I will be your conference operator today. At this time, I'd like to welcome everyone to the DXP Enterprises Fourth Quarter and Fiscal 2018 Conference Call. [Operator Instructions]. Thank you. I would now like to turn the call over to Kent Yee, Senior Vice President and Chief Financial Officer. Please go ahead, sir.
Kent Yee: Thank you, Kelly. This is Kent Yee, and welcome to DXP's Q4 2018 conference call to discuss our results for the fourth quarter and fiscal year ending December 31, 2018. Joining me today is our Chairman and CEO, David Little. Before we get started, I want to remind you that today's call is being webcast and recorded and includes forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. A detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis are contained in our SEC filings. DXP assumes no obligation to update that information as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release. The press release and an accompanying investor presentation are now available on our website at ir.dxpe.com. I will now turn the call over to David to provide his thoughts and a summary of fiscal 2018 and fourth quarter results.
David Little: Thanks, Kent, and thanks to everyone on our 2018 fourth quarter and year-end conference call. DXP started 2018 with some very lofty goals and coined the term smart recovery. Internally, this described our objective to grow the top line 20% and the bottom line 100%. We accomplished both goals. Congratulations to all our stakeholders and a special thank you to our DXPeople you can trust. Customers can trust DXP to be fast, convenient and technical. Experts with whom our customers enjoy doing business with, DXPeople, they like and trust. Thank you DXP sales professionals. Thank you, DXP operations, for making our sales professionals look good. Also, thank you to corporate support. One team making the customer happy. Thanks, DXPeople, for an awesome year and our future looks bright. Our smart recovery plan for 2018 included organic growth strategies for both local, regional and national accounts: such as tech program for finding new accounts, VMI to make the point-of-sale faster, selling pumps through our bearing and PT channel and custom API pumps sold through our global and national relationships. IPS expanded our effort to sell measurement equipment and better communicate around leveraging local plants into multiple plants or corporate accounts. Supply Chain Services continues to add new customers and new sites for existing customers. We have a suite of smart programs to expand value-added services and technology to existing sites. Candidates rotating equipment is in a tough market. Yet they had a great year taking market share from the competition, congratulations. PumpWorks, aftermarket, remanufacturing, all had great success selling their products and services through DXP's sales channel. Quality products, made in America and a faster supply chain gives us tremendous success. IT, accounting, inventory management are all working hard to support DXP's sales organization and manage our return on invested capital, which has been a success versus our peer group. Working capital is only 16.8% of sales, which is truly outstanding. Our integration team is ready for acquisition - for our acquisition strategy. HR is working hard to keep up with the growth of DXPeople. We started the year with 2,511 DXPeople and ended with 2,740. Innovative Pumping Solutions started 2018 with planned growth strategies of new products, increased fabrication space, application specialists, service and repair with increased engineering and fabrication support. All of these actions and strategies resulted in a terrific 2018. Our fourth quarter results round out to a tremendous - rounded out a tremendous 2018 for DXP. During the year, strong sales growth and EBITDA expansion delivered triple-digit diluted earnings per share growth and strong free cash flow. DXP delivered 16.1% organic sales growth for the full year, accomplished - accompanied by a $47.5 million sales contribution from the closing of an acquisition of ASI at the beginning of 2018. This translated into a 20.8% sales growth year-over-year. DXPeople continue to provide 100% effort and do a day's work in a day, driving stakeholder success and value creation. We generated $29.1 million of free cash flow in 2018, which is a significant improvement over fiscal 2017. This will help position us for significant capital deployment going forward. As we look at our financial performance, DXP has now experienced nine quarters of sequential increases in quarterly total days per business day. We continue to remain on track for gross margin improvement that we outlined during Q3 of 2017. Our results year-over-year have been consistent with our expectations and in line with our financial goals to grow 20% year-over-year through a combination of organic sales and acquisition growth. We believe we continue to take market share in many of our businesses, driven by our focus on being fast, convenient and technical for our customers and all stakeholders. DXPeople you can trust. As it pertains to the operating environment, the ISM, PMI manufacturing indexes averaged 58.8% during 2018. This supports the organic sales increases we experienced during the year. The Metalworking Business Index showed strength averaging slightly less at 56.8% during fiscal 2018. These sentiment indexes remain in positive territory, but have softened in December. We remain optimistic around the industrial economic despite the news headlines and volatility in the financial markets. In terms of oil and gas, U.S. market indicators show some pullback in the fourth quarter, where WTI oil prices grew from $76 per barrel to $45 per barrel. The significant drop in price in the fourth quarter was driven partially by the U.S. shale producers oversupplying to the upside. Additionally, geopolitical negative impact supply and demand balance sentiments. A combination of these factors, together with a large sell-off in the equity markets due to concerns around global growth and increased U.S. interest rates, created a near-perfect storm to close out 2018. As a result, we anticipate customers will take a more cautious approach to CapEx budgets and spending levels in response to the continued volatility in the market dynamics. Quarterly prices for Q4 were down 14% from Q3. That said, prices have been improving from our low of $44.48 per barrel through January and February and provided optimism as we move through fiscal 2019. Turning to our results. Total DXP revenue of $311 million for the fourth quarter of 2018 was a 17.1% increase year-over-year. This reflect stability, rebound and growth in our end markets. As well as the addition of Application Specialties. These - this result is DXP's fiscal 2018 sales of $1.2 billion or a 20.8% increase over fiscal 2017, 16.1% organically and $47.5 million contributed by ASI. Innovative Pumping Solutions sales increased 43% year-over-year to $291.7 million, while Service Centers sales increased 17% year-over-year to $750 million. Supply Chain Services sales increased 8% year-over-year to $174.5 million. Innovative Pumping Solutions sales increase was driven by modular packaged equipment for onshore markets and products sold into the midstream markets. Additionally, similar to 2017, DXP sold a meaningful amount of LACTs and ACT units, HP-Plus Pumps and other modular packages within both our configured and engineered tool business. In terms of the strength in the IPS backlog, it continued to grow through 2018. The IPS yearly average backlog increased 57.6% from 2017 to 2018 versus 39.3% growth from fiscal '16 to 2017. The Service Center year-over-year sales growth was primarily driven by increases in our rotating equipment and Metal Working product divisions. Within Service Centers, we saw a particular year-over-year sales strength in DXP's Canadian Rotating Equipment Southwest, Southeast and West regions. DXP's overall gross profit margin for the year were 27.3%, a 34 basis point improvement over 2017. Adjusting for the acquisition of ASI, gross margins were 27.7% or a 76 basis point improvement over 2017. The improvement in gross margins is in line with our communication back in Q3 of 2017 with what we expected, and it reflects 116 basis point improvement from Q3 or an average of 23 basis points quarterly improvement from our trough. We still are driving improvements in gross profit margins and look to have incremental improvement through 2019. The improvement in gross margins are a result of the combination of sales increases in the IPS segment, along with improvements in the average gross margin on capital-related projects as well as the consistent strength and improvement in our Service Centers. SG&A as a percent of sales declined 196 basis points, going from 23.7% in 2017 to 21.7% in 2018. In terms of my thoughts on SG&A, SG&A will decrease as a percent of sales and increase as expected in dollars, reflecting our investment in our people and organization as we focus on accelerating growth through 2019. DXP's overall income margin was 5.6% or $68.5 million, which includes corporate expenses and amortization. This reflects a 230 basis point improvement in margins over 2017. That being said, we feel there is opportunity in our operations to be more efficient. This year, we continue to benefit from the leverage we get as SG&A growth is less than the overall sales growth within the business plus those margin improvements. IPS operating income margin was 11.6%. Service Center operating income margins were 10.8% with the second half of the year showing strength with an average operating income margin of 11.3%. And Supply Chain Services operating income margin was 9.3%. As we mentioned during our Q3 call, Supply Chain Services experienced margin contraction during the second half of 2018, which is a result of higher-than-normal ramp-up costs associated with 7 new sites. We expanded the seven new sites, whereby, we hire the personnel, convert the customer storerooms to our standards, which causes DXP to incur upfront cost. Once we go live, revenues start. Sales, along with an improvement in margin, should come, along with the completion of these startup phases evidenced by - which is evidenced by a 9% - basis point improvement we experienced from Q3 to Q4. Overall, DXP produced EBITDA of $95.8 million versus $61.7 million in 2017, a year-over-year increase of $34.1 million or 55.2%. EBITDA as a percent of sales was 7.9% versus 6.1% for 2017, 175 basis point improvement. Looking forward to 2019 in terms of oil and gas, we expect the supply and demand balance sentiment and the oil prices to improve over the course of the year as the OPEC and Russia cuts take full effect, the dispensation from the Iran export sanctions expired and are not renewed, and as the U.S. and China continue towards solution to their own ongoing trade dispute. While the indices for our industrial market show below recent highs, we believe there is strength still in the market and that our domestic focus weighs favorably, should global industrial activities slow. From customer discussions, we're seeing clear signs of oil and gas investment sentiments starting to normalize and positive undertones with our key industrial customers. In summary, we're pleased with our overall momentum. DXP delivered 20.8% sales growth through both organic and acquisition sales. This is consistent with our strategic financial goals and position us well for the fiscal year 2019. We look to continue to drive improvement in our gross margins and move closer to a historical average of 28-plus-percent on a combined basis. In fiscal 2018, capital allocation was focused on leveraging our inventory, investing in project work, maintaining our working capital as a percent of sales. Additionally, DXP was focused on generating cash, paying down debt and maintaining a pristine balance sheet that would give us both optionality headed into 2019 to pursue acquisitions more closely. With the future successful execution of our strategy, we expect continued improvements toward generating free cash flow and greater shareholder value. We know that DXP has a differentiated and a compelling value proposition. DXP sales, operations and corporate functions remain energized and continue to work together to create value for our customers. DXP has a great team focused on producing great results for our customers, suppliers and our shareholders alike. All three business segments performed well during the year. We will drive change, innovate for growth and lead tomorrow. With that, I will now turn it back to Kent to review the financials in more detail.
Kent Yee: Thank you, David, and thank you to everyone for joining us for a review of our fourth quarter and fiscal 2018 financial results. Q4 was another great quarter for DXP and allowed us to finish the year strong, while building momentum going into fiscal 2019. As David mentioned, we are growing through a combination of organic and acquisition-driven sales. Our balance sheet is poised for us to be acquisitive, and we look to continue the execution of that part of our strategy in 2019. And Q4 2018 financial results marks our ninth consecutive quarter of increases with respect to quarterly sales per business day. Total sales for the fourth quarter increased 17.1% year-over-year to $311 million. Adjusting for the $12.4 million Q4 sales contribution from ASI, organic sales increased 12.4%. Total DXP sales for fiscal 2018 grew 20.8% with 16.1% coming from organic sales growth. ASI contributed $47.5 million in sales for fiscal 2018, and we're excited to have them as a part of the team. They have performed ahead of plan and they have been a positive addition to DXP. Total sales growth for fiscal 2018 was supported by DXP's three business segments, reflecting the differentiated go-to-market strategy of each segment, the opportunities available given where we're at in the cycle and the continued expansion we are seeing from existing and new customers. Average daily sales for the fourth quarter were $5 million per day versus $4.4 million per day in Q4 2017. Adjusting average daily sales for ASI, average daily sales for Q4 increased 10.6% versus Q4 2017. Average daily sales for fiscal 2018 were $4.8 million per day versus $.4 million per day in fiscal 2017. The overall growth reflects the execution of our strategy supported by our key end market indicators through fiscal 2018. While we experienced another round of volatility in Q4 in oil prices, we experienced overall strength throughout the year in the rig count, U.S. oil and gas production, drilling, the Metalworking Business Index and the PMI. The ISM, PMI manufacturing index averaged 58.8% for 2018 compared to 55.4% in 2017, whereas essentially still up 140 basis points compared to 2017. This supports the organic sales increases we experienced through 2018 in our non-oil and gas end markets. Additionally, the Metalworking Business Index averaged a reading of 56.9% in 2018 versus 55.5% in 2017 and supports the strength we've experienced in our Metal Working businesses. In terms of oil and gas, the average U.S. rig count for 2018 was up 17.9% versus 2017. That said, Canada's rig count was down 7.7% from fiscal 2017 to fiscal 2018. This impacted DXP's Canadian Safety Services business on a year-over-year basis. In terms of business segments, all three experienced sales growth year-over-year with IPS showing the greatest improvement increase at 43% followed by our Service Centers, which experienced 17% growth and Supply Chain Services with 8% growth. Businesses within our IPS segment, which experienced year-over-year sales growth include our configured-to-order, engineered-to-order, remanufacturing businesses and our branded private-label pump offering as well as our measurement equipment business. Regions within our Service Centers segment, which experienced meaningful sales growth in fiscal 2018 include the Southwest, Southeast and West regions. Additionally, we saw a meaningful increase within our Seal and Metal Working product divisions. The Metal Working product sales were supported by the strong performance from ASI. Turning to our gross margins. DXP's total gross margins were 27.3%. Adjusting for the acquisition of ASI, gross margins were 27.7%. DXP's total gross margins for 2018 reflect the progress we're continuing to make since we troughed in Q3 of 2017 and improvements reflected through 2018 in our engineered-to-order and our Canadian Safety Services businesses. In terms of operating income, combined all three business segments improved to 181 basis points in year-over-year business segment operating income margins versus 2017. Total DXP operating income increased 104.4% versus 2017 to $68.5 million. IPS had the greatest uptick improving operating income margins 604 basis points to $33.9 million, followed by Service Centers, which had a 90 basis point improvement to $80.7 million. Supply Chain Services decreased 28 basis points on a year-over-year basis. This is primarily driven by a decrease in gross profit margins associated with the implementation of new SCS sites and revenue not fully scaling as mentioned during our Q3 conference call. Turning to EBITDA. Fiscal 2018 EBITDA was $95.8 million, up 55.2% from 2017. This does include a onetime gain of $1.3 million associated with the sale of our corporate facility. Adjusting for the gain, EBITDA grew 53.1% year-over-year. Year-over-year EBITDA margins increased 175 basis points, primarily reflecting the fixed cost SG&A leverage we experienced as we grow sales. EBITDA margins for fiscal 2018 were 7.8% compared to 6.1% in fiscal 2017. Sales growth at 20.8% with only 13% SG&A growth on a year-over-year basis translated into 2.7x operating leverage. In terms of EPS, our net income for 2018 was $35.5 million. This is up $18.7 million or 111.6% versus 2017. Our earnings per diluted share for fiscal 2018 were $1.94 versus $0.93 in fiscal 2017. Adjusting for the onetime gain, earnings per diluted share would have been $1.87 or a $0.07 per share impact related to the gain. Turning to the balance sheet. In terms of working capital, our working capital increased $35 million from the prior year to $204.2 million. In Q4, we remained focused on providing the capital to support growth in our businesses. Working capital as a percentage of sales at the end of the fourth quarter was 16.8%. This is above our historical average, but reflects 129 basis points improvement compared to Q3. While this is above our historical averages, it reflects the growth in our business and investment in project related jobs within IPS. The main drivers of the increase in working capital include cost and estimated profits in excess of billings and inventory. This has been consistent through fiscal 2018 as we have supported our core distribution business and project related businesses. Cost and estimated profits has increased $5.6 million from Q4 2017 to $32.5 million and inventory is up $23.4 million from Q4 of 2017 to $114.8 million. This reflects DXP carrying higher levels to support our revenue growth. We achieved inventory turns of 7.8x, down from 8.4x a year ago. From Q3, inventory is down $1.7 million and cost and estimated profits is down $5.9 million. In terms of cash, we had $40.5 million in cash on the balance sheet at December 31, 2018. This is an increase of $24.3 million compared to December 31, 2017. In terms of CapEx, CapEx in the fourth quarter was $1.6 million or 0.5% of fourth quarter sales. CapEx in fiscal 2018 was $9.3 million or 0.8% of sales. Compared to fiscal 2017, CapEx dollars are up $6.5 million. CapEx during fiscal 2018 reflects investments made within our IPS business segment, including the purchase of patents for our remanufacturing business and some smaller items, including various tools and equipment. We're also making investments in software to enhance our sales efforts in our corporate operations. Turning to free cash flow. We generated solid operating cash flow during the fourth quarter. During Q4 of fiscal 2018, we had cash flow from operations of $26 million and $35.8 million, respectively. This reflects an increase of 185.7% over fiscal 2017 cash flow from operations of $12.5 million. For fiscal 2018, we generated $29.1 million in free cash flow. While we're always looking to enhance and improve our cash flow generation, we are comfortable with where we're at, at the end of the year with further improvements in the future. Return on invested capital, or ROIC increased 770 basis points from 2017 to 28.8% and continues to improve as we drive margins and operating leverage. This return does reflect an adjustment to the tax rate assumption used in the calculation to both fiscal 2017 and fiscal 2018. In terms of our capital structure, at December 31, our fixed charge coverage ratio was 3.5:1 and our secured leverage ratio was 2.2:1. Total debt outstanding at December 31 was $248.7 million. In conclusion, we are pleased with our ability to have nine sequential quarters of increases in quarterly sales per business day. This has included organic sales and acquisition growth, EBITDA margin expansion with room for improvement and significant diluted EPS growth. Momentum has been good, and we look forward to pushing this through the entirety of 2019. DXP is on its path of its financial goals, driving organic and acquisition sales growth, EBITDA margin improvement and EPS increases. With that, now I'll turn the call over for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Joe Mondillo from Sidoti & Company.
Joseph Mondillo: Kent, can you just repeat the gain on sale, how much that was and confirm that it hit the fourth quarter? And what segment - did that hit one of the segment operating income lines?
Kent Yee: No. The gain actually occurred earlier in the year. You may not remember, Joe. The gain was actually in Q2, and it was just - reflects the sale of our corporate facility, and it was $1.3 million.
Joseph Mondillo: Okay. Right. Okay. That's what I thought. I just wanted to confirm. On the Service Centers side of things, organic growth was pretty good. I thought you guys were going to be going up against - or I guess, you were going up against sort of a tough comp the fourth quarter of last year. Could you just talk about the trends that you're seeing there? You mentioned that you're seeing some really good growth in the Rotating Equipment and Metal Working equipment, but the deceleration was not as much as I anticipated. What are you thinking as we are now into 2019?
Kent Yee: Yes. A fair question. You always got to remember. Our Service Center business is 80% MRO, roughly 20% OEM. And so I think I saw your note just in general on the industry. And so we - for a majority of our business there, we benefited from that - from a maintenance spend. We also benefit from ASI. ASI was a contributor. I don't know if you're looking at that on an organic or a total basis, but ASI finished the year roughly $47 million, and that was ahead of plan. And so that kind of pushed us through on the Service Center side as well. And so, we saw strength, yes, on the Rotating Equipment side, on the MRO side, but also ASI was a huge contributor throughout the year.
Joseph Mondillo: Okay. And then, I feel like I ask this question almost every quarter. The margins at the Service Center segment, just sort of really tough for me to get a hands around. It seems like it's a quite volatile spend - actually pretty consistent the last few quarters. Could you just comment on where you are in terms of the Service Center margins and is there more room for expansion? Are we going to have a tough comp in 2019, given the expansion that you saw in 2018? Any sort of color or insight that you can provide there that would be helpful.
Kent Yee: Sure. Joe, I'll just walk through the trends in terms of operating income margins from Q1 in 2018 through the fourth quarter, and then I'll kind of jump to your question. Q1 operating income margins for our Service Centers were 9%, for Q2 11.3%, for Q3 10.9%, and then for Q4 11.6%. So directionally, what I'm getting at is there was, call it, a little bit north of a 200-plus basis point improvement of operating income margins. For the year, 10.76% operating income margins. Historically, that business has kind of been, call it, in the 12%, maybe at the most 14% operating income margins range. And so we're seeing improvement, and we did through 2018. If we keep the trend, we're starting to get to the higher end of that. And so - but that's natural. That typically comes once again as we get strength in our Rotating Equipment business and somewhat becomes a reflection of mix.
David Little: So some of that, Joe - Joe, some of that is scale. I think the bouncing of those margins, I think, are consistent with whether we had a higher sales month - sales quarter or not. And realize that our peak in 2014 was $1.5 billion. So we still have ways to go to get back to where our peak was. And so, as we do that, certainly, our operating income is going - as a percent of sales is going to grow. The other piece of that is gross profit, and that's a function of people, again, not being so scared to get a decent margin on stuff instead of just feeling like they have to sell it at any price. So I feel good about that. The only thing coming that we look as - we look at this as an opportunity is that our manufacturers that we represent are having price increases. And so our customers are kind of accustomed to price increases. So we tag along and add a percent for ourselves, and that tends to work.
Joseph Mondillo: Okay. And then - so looking at 2019 as a segment of the - as a whole Service Center, it seems like growth is moderating in the industry. I'm not sure if you agree or if you've started to see that within your business for the first two months of this year. Is it fair to say that you should probably see a moderating growth at Service Center in 2019? And maybe not as much of an expansion in margin, but continue to see expansion margin in 2019. Is that sort of the general theme that you're sort of expecting?
David Little: We're not expecting any decline in sales for the Service Centers.
Joseph Mondillo: No, I was talking about growth, like a deceleration of growth. It's still growth, but moderation.
David Little: Yes, yes. Right, right, right. And I think that's fair, certainly fair based on - it was fair back in the November and December when we thought the sky was falling. But it's - it hasn't played out. We seem to be tracking January and February pretty nicely. So we feel like yes, we're going to do 16% organically again. It's possible, but it's not probable. And so, I'm going to have to, knowing what I know today, think that it will be less, but I don't still know how much less.
Joseph Mondillo: Okay. Just a sort of a broad question on the oil and gas sector. It seems like the estimates out there are calling for sort of E&P CapEx budgets being slightly down this year, integrated companies sort of flat to slightly up. So the CapEx budget seems sort of maybe flattish to maybe potentially down, maybe potentially up. Given that environment and looking at the rig count and all these other indicators, it looks like a pretty significant slowdown, but you're coming off of a end of 2018 that was very volatile and oil prices have since rebounded. What is your sort of take on sort of how 2019 looks? Are you anticipating continued growth in your oil and gas markets? Just any sort of color there would be really helpful.
David Little: Right. So the midstream people and the people putting new pipelines in, in the States, that activity - first of all, we have a large backlog of that kind of activity where we've already sold it, and then our quoting levels still are good. So we're probably seeing nice growth in midstream. And then, when we look at drilling activity, which we don't care about, I think, that there'll be lesser of that. I think when people cut their CapEx budgets, I think, the drilling activity is one of the areas that they'll look at cutting. The question becomes where we play is after they frac a well, so they create a duct, they drilled it, but it's not completed yet. There's $4,000 to $6,000 amount there, I don't know exactly. But when they complete those and the oil gets above the ground, that's when we really start playing. So in the area where we play, we're not thinking that we're going to see a decline.
Joseph Mondillo: Okay. And then, so IPS, that's obviously a big part of this sector and the fundamentals that you just spoke of. What does the backlog - you mentioned that backlog grew - continue to grow throughout 2018. Has it started to decelerate in terms of the year-over-year comp? And how is that sort of trended into 2019? Just trying to get a sense of what kind of growth we're sort of anticipating for 2019 there.
David Little: So that's a good question. And really, yes, we've seen - our backlog is still growing, but it has - it isn't as robust as it was at the beginning of last year. So the question that we have is why - and because there's still a lot of activity, there's still a lot of quoting activity, so question is, are people just starting to be a little more conservative because they think - they got to kind of watch supply and demand. They don't want to get way too far ahead of the demand curve because then all of a sudden oil prices will go down and they have financial difficulties. We all remember '15 and '16 quite well. And so, I think, there's a lot of conservatism out there. But again, we think that if OPEC continues to cut production, if Russia continues to follow suit, if we're not giving Iran a free path, and if China and the United States can kind of get their - this tariff back in some sort of reasonableness, then we could - in oil and gas, we could still have - we can go back to a pretty big boom. I want to really make this distinction that the industrial market has been on an upcycle for this 10-year period. It looks like everybody thinks that after 10 years, it's got to go down. And that may or may not happen. I don't quite know how taxes and those things are going to play out. But from an oil and gas point of view, we've not been in an upcycle. We didn't even get an upcycle until '17. So we got '17 and '18, and so there's really not any reason to think that oil and gas will continue to be a really, really good market. And really, we prefer - if I could just say this, we prefer a more stable oil and gas market than the one that shoots up to $110 a barrel of oil and gas goes down to $2. I mean, if we could just have stability, then that's really better for us, and we'll perform really quite nicely.
Operator: Your next question comes from the line of Blake Hirschman from Stephens.
Blake Hirschman: First, just wanted to ask about the ex ASI organic margins. I think I heard you say 27.7%, and I think that was full year but wanted to clarify. And then as a follow-up to that, could you kind of talk through some of the drivers of that organic margin expansion. I think you mentioned engineered-to-order and Canada, but just kind of wanted to get a little bit more color there.
Kent Yee: Yes. You're correct, Blake. Sans ASI gross margins were 27.7%. Just to retrace a little bit of the history real quick. We troughed in Q3, and we troughed partially because of the two businesses you mentioned, Canadian Safety Services and our engineered-to-order business. We've seen continued improvement in both of those businesses throughout 2018 really since Q3 of last year. So that's - on the Safety Services side, it's in spite of their revenue actually being down on a year-over-year basis, but their gross margins are not back to where they've been. Their gross margins are probably still off roughly around 39 basis points from some of their peaks. And so, while we're pleased once again with the direction and kind of what they've done, you heard it probably in our comments, there's still room for improvement on the gross margin side. And so, we love to continue to see that going forward. Engineered-to-order part of that was just a scale aspect. We needed volumes to pick up. Engineered-to-order is within our IPS business segment. And so, we saw some of that - in David's comments, he throughout last couple quarters has quoted the IPS backlog, and that's continued to grow. So with that scale, some of - there's just some fixed cost leverage you get out of that business as you move through the cycle. And so, I think that's what you're seeing in that business as well.
Blake Hirschman: Got it, all right. And then, wanted to see what the monthly sales per day looked like throughout the 4Q and curious if you could give us any update on what January or February looked like?
Kent Yee: Yes, no. Absolutely. So sales per business day through the quarter for Q4, for October was $4.7 million. November was $5.0 million. December was $5.4 million. In 2019 here, a little sales flash for January and February, $4.5 million for January and $5.1 million for February.
Blake Hirschman: $5.1 million, okay. And then, lastly, on capital allocation and more specifically M&A, wanted to get an update on how you're thinking about things? How the conversations are going? And if you guys think you're getting closer to kind of closing anything here?
Kent Yee: Yes, no. In terms of acquisitions, obviously, 2018 was a year where we were coming fresh off our refinancing towards the back end of '17. And so, we did a repricing. We paid down some debt. We have light amortization on that facility, and then we're also building cash in the year with $40-plus million of cash on the balance sheet. We're - we can never time those conversations as I always say, but we engaged more heavily in dialogues in 2018, that is for sure. And so, hopefully, we'll see some of the fruit of that here in 2019 kind of as we move through the year. And obviously, that's always been a key aspect of our strategy, and we look to accelerate that, but you heard that in David and my comments. But we don't have any secret sauce in terms of turning these guys into sellers immediately, so.
Operator: Your next question comes from the line of Steve Barger from KeyBanc Capital.
Ryan Mills: This is Ryan Mills on for Steve. Again, I wanted to talk about IPS and PumpWorks. I think it's obvious to say you've taken share, given the top line performance. So can you talk a little bit about what your customers are saying and what's driving the momentum for that business?
David Little: Sure. This is going to sound interesting, but we actually have produced a made in America pump versus oftentimes others with pumps in Italy or components made in China, et cetera. So we usually have a more expensive pump. It's not out of line expensive, but it tends to be a little more expensive. So why are we successful? Well, we're successful because the flip side of that is, is our supply channel is all in America. And so we can simply do it faster. And if delivery is important, which in the oil and gas and midstream marketplaces, that's important, downstream not so much. So we're not quite as successful downstream. But we make a better pump, we make it exactly like the customer wants it, and we do it faster.
Ryan Mills: Okay. And then, I believe, on your last earnings call, you said you had advantage because your pumps are made in America. So how are your prices shaping up compared to the competitors who are experiencing tariff-driven inflation? Is that kind of leveling the playing field, because on your last earnings call, I think you said the price increases you're seeing in your pumps business is 4% to 5% compared to the double-digit increases some competitors who source overseas might be seeing?
David Little: Right. So we haven't seen the major players closer really come out with any kind of 20% price increases. So that hasn't panned out as much as we would have hoped for. The key, again, is that our - and really made in America is great as long as you're competitive. It's not - people aren't going to buy made in America if it cost twice as much. They're just not going to do it. So they'd like to, but they're not going to. So we have to be competitive. So we're close. What really drives the premium is fast delivery. That drives the premium. The American - if we're equal and we're made in America, that may win us the order. If we're 20% higher made in America, well, we're not going to get the order. We'll get the order too is that our salesman have relationships with these accounts. So we have some influence on the channel as it relates to our salesman and the customers that we're dealing with. They like us. We're fast. We're convenient. We provide technical support. We get - we build the customer the pump that he wants. It's custom-made oftentimes. So all of those things add up to a differentiation that allows us to make a good margin, even though our product is a little more expensive. And so - and then to answer specifically, the tariffs had not panned out to be a big, big deal.
Ryan Mills: Okay. Just couple more from me. Solid free cash flow this quarter and your net working capital actually ticked up throughout this year. So I'm just curious about your free cash flow expectations of 2019. And should we start to see working capital drawdown or do you still expect that to be a use of cash in 2019?
Kent Yee: Yes. Ryan, what we experienced in 2018 was this gradual pickup. I think we peaked out in terms of working capital as a percentage of sales around 18%. And that really reflected our growth in the cost and estimated profits of basically our project business. And so if that backlog continues to build, we'll go through that similar cycle more than likely in 2019. But what happened at the back end of 2018 is a lot of those job ships - shipped and we did a better job, which act, and there's stress organizationally in terms of collecting on those jobs. Those jobs are subject to progress, billings and some other things. And so we - you see that the difference between those balance sheet account narrowed in Q4. And so, that created the free cash flow and thus a lesser drain on working capital as a percent of sales ending the year at that 16% range. And so, I think, that's what - we would normally expect just in our core distribution business, the 15% to 16% range and then with our project business, when we invest in that, it tends to drive it up slightly, so.
Ryan Mills: Okay. And then going to the oil and gas markets that you play in, earlier this week, there is a report out describing lower productivity rates from wells because they were being drilled too close together. Are you hearing anything from that in regards to that from your customers? And what are your thoughts on the implications for dock completions if this is true?
David Little: Well, oil and gases are both depleting resource. So the question is, are we experiencing depletion faster than what we anticipate? And I'm not hearing that. We know and I know - I happen to participate in oil well in the Eagle Ford as an example, and I mean it comes in at thousands of barrels a day and then it drops down. It drops down 80% by the end of that year. So - but then at that level, it kind of levels out and how long it will last, who knows. But they don't keep going down to just zero. So there is this cover where you drill a well, you get a lot of production for a year and then it drops down. That is the reason why, I guess, the oil and gas business until we all go to solar or wind turbines, we'll continue to exist even if we're not trying to do any more than just maintain existing production. And so, we feel good about that. We actually make more money on parts and aftermarket. And because we're kind of a newbie on - with PumpWorks, we don't have a lot of parts and aftermarket at this particular, say, your aftermarket business is frankly our competitor's pump, not our pumps. So there is things to come that'll be beneficial. And as long as we don't have huge swings, where price of oil goes to $24 or it goes to $100, either one of those things, really stability is a lot better for us, and it's really better for the country too. So I don't know if that answer your question, but that was my thought process.
Ryan Mills: No. That's good. And my last question. IPS has been growing at a solid clip for about seven consecutive quarters. So I'm just curious, when do you expect to see a nice benefit from that aftermarket business? Are you starting to see that now? And then could you just talk about the margin profile?
David Little: So we actually are a parts business at PumpWorks, I believe. I think this is right. I'm not sure, I could get you the exact number, but it doubled. It doubled from the year before, but it wasn't a big number. You double zero it's still zero, no. But it's - we doubled it. It'll continue. It'll probably double, again, this year. And so, it's just a matter of getting pumps out there. Now, PumpWorks' API product line has been out there. They were in the business at least five years before we purchased them. So they have some history out there and et cetera. So we're getting some of that business, and it is at high margins. And then we - like I said, we get the competition's aftermarket also.
Kent Yee: Ryan, just bouncing back on your free cash flow question. Another way to think about that obviously is our free cash flow conversion. Our conversion on there - sometimes when I'm talking to folks in a more growing market usually, we typically expect 25% to 35% free cash flow conversion. And so I think for the year, this year, we finished around that 30% range, so that's in line. But the quarters in between is where the noise is at, I guess, was my point earlier I was just trying to make, so.
David Little: Sort of my point - am I wrong about this, Kent? I think, if we have organic growth of 20%, we'll then - we're going to use a lot of our free cash flows supporting that 20% growth. So if it - but if it's more normal and it's 10%, well, then we'll have a bigger buildup of cash. I mean, so it's just a function. And then the number is, well, can we have 15% to 17% of sales in working capital? So that's a pretty low number. So we can have a pretty high growth number and not burn all our cash, which is just proof of the fact that I bought the company in 1986 and grew it to $1.5 billion. And during that time cycle, we only raised $25 million onetime. So the cash flow is being generated.
Kent Yee: Yes, yes.
Ryan Mills: Yes. That will make sense. And so just to add targeting that 25%, 35% in '19 as well.
Kent Yee: Yes. I think so. Once again, I was just trying to emphasize that there is noise just to pin upon because our project business, but to David's point, it's also a mix of where our growth comes from, once again. If we - I think it was - Joe at Sidoti who asked about Service Centers, but it's more of our growth is coming through Service Centers, but that's not going to require as much. And so once again, it just depends on the quarters where that growth comes from to.
Operator: Your next question comes from the line of Joe Mondillo from Sidoti & Company.
Joseph Mondillo: Most of my questions were actually answered. I actually tried to withdraw, but just one or two clarification questions. The tax rate that you're sort of thinking about for this year, what would that be?
Kent Yee: Yes. Going back to tax reform, Joe, I gave a range around 28% to 30%. This year, we're around 27%. I think the lower end of that range is still applicable. Year-over-year, we had some remeasurement adjustments. It makes us look different than most where our tax rate actually looks like it went up in 2018 versus 2017. But I think just in terms of kind of directionally, where product at lower end, if you will, that range back at the end of '17 when I said 28% to 30%.
Joseph Mondillo: Okay. And then last question. Just the 13.4% operating margin at the IPS segment, how do you think about that as sort of a benchmark or I mean - as we go into the beginning of 2019, are you going to see sort of potential of under that number? Or is that sort of a low bar and going forward, you should see improvement from there?
Kent Yee: Right. So once again, I mean I'll just trace the trends for everybody else on the call. IPS through the quarters we had 9.4% operating income margins, 12.1% operating income margins, 11.4% operating income margins and then we ended the year with 13.4% operating income margins. We do have a different mix of business today than we had historically. If in the past, I know we've peaked up around a 20% operating income margin today, but I wouldn't want anyone necessarily to have those higher end expectations. I think our business today, the mix is totally different. That said, is there room to go from 13.4%? Absolutely. Once again, I mean, it's also going to depend upon mix. We have a measurement business i.e., LACTs and ACT units that tends to be a little bit lower margin and that's some of my comments around mix. But then we also have some other higher-margin API different things related to that. So it's all going to be a mix and how we fall out.
David Little: So Joe, you remember - Joe, you remember when we had 16% operating income margins in that area. And basically, in those days, we were doing a lot more offshore work and the complexity and the value add was higher, and so we made higher margins on offshore stuff. And so today, we don't - we do very little offshore. So it's more onshore, and so, it's not quite as technical. And so, therefore, the value adds, it's easier for other people to do it too. So our competition is a little greater. So that, that's right part of it, and so I'll just remind you about that.
Joseph Mondillo: How does the PumpWorks - wasn't there sort of some funky way of accounting? I remember this from a year or two ago, at least, I guess, where the revenue up until breakeven was accounted for in the Service Centers segment and then sort of the profits beyond that were accounted for in the IPS, is that anywhere is correct? Or how does the accounting in terms of profitability at the PumpWorks business play?
David Little: That's not - it doesn't play like that. What does happen is that a manufacturing facility like the PumpWorks almost everybody's has a pretty high fixed cost versus a distribution business where people really - or your highest fixed cost is people - yet people are variable too, so if you can get rid of them whereas when you have this plant and got all this equipment, you got all that stuff, you got to have a high fixed cost. So what does happen almost for everybody is that as you cover that fixed cost, your variable costs are not that high. So your margins will go up with volume.
Joseph Mondillo: Right. Now that make sense. But where is your in-house manufactured pumps accounted for? Is it in the Service Centers segment or IPS?
Kent Yee: No. It's in IPS.
Joseph Mondillo: It is in IPS, okay. And that would - as we go down the road, maybe it's not in a quarter or two, but as that start - ramps up becomes a bigger percentage, that should help increase the ceiling to margins over time, correct?
David Little: Yes, you're correct.
Kent Yee: Absolutely. Yes.
Operator: And there are no further questions at this time. This concludes today's conference call. You may now disconnect.